Operator: Hello, and welcome to IBA's Full Year 2023 Results Conference Call. [Operator Instructions]. I will now hand over to Olivier Legrain, Chief Executive Officer of IBA.
Olivier Legrain: Thank you, Olivier, and good afternoon. Everybody, thank you for joining us today on our result call. Together with me we have our CFO, Soumya Chandramouli, and Henri de Romree, newly appointed Deputy Chief Executive Officer. Before we begin, I would like to draw your attention to the company's disclaimer on forward-looking statements. Here is a summary of our call today. I will start with an overview of IBA performance and progress in 2023, as well as the performance of the Proton therapy and dosimetry. Henri will discuss the performance of other accelerators, and Soumya will provide us with the comment on the financials and the outlook before I open the line for questions. This slide will be familiar. It outlines the growth dynamics within the different business units, which remain unchanged, but as highlighted before, our focus is on backlog delivery, maintaining growth momentum, and selective investment to support the growth. We will outline progress on these drivers as we get into the detail of each business unit. The next few slides outline some important figures for 2023 financial results, starting with revenue. As you can see, we achieved double-digit revenue growth in 2023, with accelerated backlog conversion in the second half of the year. Other accelerators had a record year with a 51% increase in revenue. Dosimetry also saw strong growth, with a more modest uptick for proton therapy. Next, we have laid out order intake for 2023. It’s important to note that the group 2022 comparable is related to a one-off boost from proton therapy contracting pain. With that in mind, 2023 order intake is encouraging, with dosimetry performing particularly strong. Moving on to the important topic of backlog, this remains €1.4 billion at the group level, and you will see here all this split out. In the second half of 2023, we saw a strong conversion of backlog across the business. During the period, we made good progress on all four of our sustainability streams. In particular, I'd like to highlight the research launched recently on fundamental applications of electron-beam technology. Our peak of pre-certification now in progress. The ESG mapping exercise started with Ecovadis on our supply chain. And finally, ONCIA Community, an employee-inspired initiative to accelerate the expansion of holistic cancer support centers. I will now hand over to Soumya as we take a look at the key financial for 2023.
Soumya Chandramouli : Good afternoon, everyone. So, as anticipated, 2023 was significantly second half weighted, with strong backlog conversion across the board. As a result, a positive REBIT was achieved for the full year. However, on the back of financial and tax expenses, the net result for the year was a loss of €9.1 million. The dividend proposal of €0.17 per share affects the performance of the year, and on the cash front, we're in a good position and also have undrawn credit lines for €40 million available as needed. Looking more closely at the first versus second half comparator, the strong catch-up is very clear, reflective of the backlog cycle, particularly within PT and industrial solutions. Now, if we turn to look at OPEX year-on-year, investments are key to the growth of the different businesses. And this chart highlights the fact that although there was an absolute increase in OPEX, which included, among others, investment in recruitment, digital initiatives, and infrastructure, there was a reduction as a percentage of sales as we continue with our targeted investment approach alongside tight control on costs. I now hand over to Olivier for a closer look at proton therapy.
Olivier Legrain: Looking at our delivery within PT, we're pleased to note good progress against our objectives. There are currently 33 projects under construction or installation. On order intake, particularly interesting project sold in the period was the full restoration at MGH in Boston, which was IBA's first ever PT installation sold in 1992. Progress has also been made within the framework of the ongoing CGN partnership in China. And in terms of technology investment, flash research agreements were initiated in 2023. Taking a look at order intake at a geographical level, we see there continues to be global interest in IBA's PT offering with sales in the U.S., Europe, and Asia. Now, looking at how that PT backlog is comprised, we have, as I said, a total of 33 projects globally, made up of nine Proteus PLUS and 24 Proteus ONE systems. IBA remains a market leader in proton therapy in terms of new sales, rooms in operation, and overall market share, which now stands at 42%. Looking ahead, we are confident in maintaining this market leading position, and the pipeline is strong, particularly in Asia and in the U.S. Looking at overall performance of proton therapy over the year, PT benefited from the second half catch up and the growing service business, which contributed to a 4.7% growth in revenue year-on-year. Proton therapy REBIT already decreased to minus €23.4 million. This related to a combination of factors, delays in backlog conversion of some Proteus PLUS Project in China, overall project mix, including older lower margin project, investing in future growth, particularly into manufacturing capacity and research and development, and costs related to inflation and foreign exchange. Moving on to dosimetry, we are pleased to be making good progress on gaining market share in dosimetry, with very high order intake for a full year of 67 million. This progress has been boosted by several hardware and software product launches during the year. Post period end, the team were pleased to acquire the Californian-based business, RadCal, strengthening our offering in medical imaging quality assurance. You note on this slide that we have visualized our 2023 progress, product launches, including DOSE-X, a next generation reference class electrometer, which has already reached sales of more than 300 units. On the geographical expansion side, this has been achieved both through winning new contracts, as well as acquisitions such as RadCal in 2023 and MODUS in 2022. In addition, dosimetry expertise in several countries were further strengthened, with new buyers in particular in India and China. This has been a strong period for dosimetry, with sales increasing by more than 20% order intake, being also fast. REBIT recovered significantly following last year's investment in R&D and supply chain-related cost increases. Backlog also increased in the year, reflecting the high order intake. I will now hand over to Henry, our newly appointed deputy CEO, with a focus on overseeing the other accelerator business and the very exciting growth opportunities we see there.
Henri de Romree: Many thanks, Olivier, and great to be here with you today to provide what is my first update on the Other Accelerator performance. It's been indeed another busy year for the Other Accelerator team, with continued uptick in sales of existing technologies, while also exploring future opportunities. Before deep diving together with you, I think there are two elements that are standing out. First, within the RadioPharmacy business, there's been good progress with the theranostic development, including actinium-225. I'll provide you more details on PanTera on the next slide. Within industrial, we have made excellent advances in backlog conversion, as well as growing the service side of the offering. Now, deep diving on the RadioPharma solution on the next slide, IBA leads the market for radioisotopes production accelerator, placing it in an excellent position to grasp the growing markets for both diagnostic and therapeutic isotopes, such as astatine-221 and actinium-225. In 2023, there were a number of important milestones. First, IBA sold its 100th cyclotron KIUBE cyclotrons, underlining its world-leading position in the mid-energy cyclotron market. Moreover, accuracy, a product for cardiac application, was also launched. On PanTera, the joint venture between IBA and SCK has made significant progress. First, with a supply agreement secured with TerraPower during the year. Then, post-period ends, capacity reservation agreements were signed with buyer and another undisclosed customer. Active discussions with further partners are ongoing. The construction of PanTera large-scale production facility in Mol, Belgium, is expected to begin in 2025. It's important to note that the wider market clearly sees the potential of radiopharmaceuticals. The last few months have seen the acquisition of RayzeBio appoint Biopharma infusion just yesterday by large pharma at multi-billion dollar valuations. Moving to industrial revenue saw a more than 110% increase year-on-year, driven by increasing equipment and service contracts. Order intake was slower than 2022, related to post-COVID normalization. To prepare for the future larger install base, IBA has focused on the strengthening of the size and expertise of the industrial team, especially in the US. Important to note as well that interest in E-Beam and X-Ray technologies as an alternative to ethylene oxide and gamma-based sterilization continues to grow. In terms of growth opportunity, IBA is exploring as well how it might apply its industrial solution to environmental application, including treating forever chemicals in wastewater. On the next slide, taking a look at the specific performance details, order intake was €81 million, revenue increased by over 50%, with equipment seeing a particularly strong increase to €99.1 million. This strong performance was driven by high-value backlog conversion and service growth, resulting in a REBIT of €23.7 million. Now, over to Soumya to talk about the numbers in more detail.
Soumya Chandramouli: Looking at the P&L at the group level, sales grew by 19%, driven by all the factors explained earlier on by Olivier and Henri, including high backlog conversion, dosimetry sales growth, and overall strength in the service business, with the other accelerators business having a particularly strong year. Gross margin decreased, partially driven by product mix, but also reflecting the one-off impact of a customer bankruptcy of 2022. There was an increase in SG&E and R&D as we continue to invest in the future growth of the group, alongside high inflation, although these expense lines decreased as an overall percentage of top line, illustrating control on costs. The other expenses line was impacted by stock option costs and reorganizational costs, which were partly offset by a gain on an IP contribution to PanTera. Once again, financial expenses were impacted by currency evolution, in particular in the USD and in some hyperinflationary environments. The high current tax level was mostly due to increasing business in Asia, while deferred taxes were written off partially in Belgium. As a result of all this, we reported a net loss of €9.1 million compared to a net profit of €6.1 million in 2022. Looking at a consolidated cash flow statement, the swing in operational cash flow reflects the increase in inventory and down payments to suppliers, alongside the increase in backlog conversion. 2022 had included large down payments received from customers on order intake. Cash flow used in investing activities decreased, although CapEx increased on backbone and infrastructure relating to product management, ERP implementation, and building improvements. It's also worth noting that 2022 had included acquisitions in dosimetry. Cash flow in financing activities included the dividend paid on 2022 results and debt repayments. 2022 had also included the early reimbursement of a term loan and the acquisition of treasury shares. Now on the balance sheet, I won't spend too long, but it is worth reiterating that IBA continues to have a strong balance sheet underpinned by a good net cash position of €68 million and credit lines still available. So, this summarizes the financial highlights for the year. We also discussed the details, but just to recap, the strong revenue growth in the year reflects the very good second half with accelerated backlog conversion across the business. Other accelerators and dosimetry in particular had very strong years. The group net loss reflects the challenges for the proton therapy business and the continued investment required for future growth. I’ll now pass back to Olivier for Outlook.
Olivier Legrain: Today we have reiterated our mid-term guidance. I would also like to highlight the progress against this guidance. We are still targeting 15% CAGR on 2022-2026 revenues. We are well on track to achieve this with 18% increase in revenue in 2023. We are aiming to deliver 10% REBIT on sales by '26, which will be heavily weighted after 2024. In terms of progress, we expect the REBIT margin to improve in 2024 with lower inflation and proportional R&D expenses. Finally, CapEx will remain around €10 million to €12 million per year until '26 to support increased investment for the future. '23 CapEx figures of €2.3 million reflect this. I'll finish by mentioning that the Board will recommend a dividend, as we have already stated, of €0.17 per share to the General Assembly in June. Let's finally have a quick look at what's coming up for IBA this year. Alongside our usual financial calendar events, we are looking forward to attending a range of industry conferences. In addition, we'll keep you posted on plans for a Capital Market Day in the later part of the year. I would like now to open the floor for questions.
A - Soumya Chandramouli: Thank you, Olivier. We will start by taking questions from the room and move to participants online. For those who would like to ask a question, please use the raise hand function on the Teams platform. And when you are invited to speak, please unmute yourself and state your name and company first. Thank you.
Laura Roba : Good afternoon. So, Laura Roba from Degroof Petercam. Congratulations on the results. I have three questions to start. So first of all on proton therapy, how do you look at backlog conversion for 2024? And then, how should we look at the evolution of the overheads and R&D expenses in that division as well? So, I guess that actually my question is, can we expect to see an improvement in profitability already in 2024? Secondly, a bit of the same question for the Other Accelerators, in the sense that we have seen a strong growth in 2023, but we know that there is this COVID overstocking effect and that the order intake decreased. So, what can we expect for 2024? Can we still expect some growth? And then, still in the Other Accelerators, what is the likelihood to see new entrants in the high energy machine segment?
Olivier Legrain: Okay. Thank you. Thank you, Laura. So, I will start by answering your question on overhead and R&D in proton therapy. I think we have reached the cruising altitude when it comes to expense rate for overheads and to a certain extent to R&D as well, even though we'll have, you know, the people that we have hired in the course of 2023 will be fully in the P&L of 2024. So, we might see a slight increase, but we're close to our, let's say, cruising altitude. So, we should not expect much more, let's say, OPEX in proton therapy in '24. On the backlog conversion, we'll see a progressive increase starting in '24, but really delivering in '25, especially as we will start to execute in the later part of '25 the Ortega contract in full bloom. So, in other words, we'll start to ship the first Ortega machine in late 2025. So, definitely we'll see a start of the increase in '24 and a much longer backlog conversion in 2025. The mix will be more favorable as well, as we will slowly see the lower margin products being converted and the new order intake started to kick in and we were able to normalize the gross margin in this contract. So, it will also help, let's say, not only convert, but also to improve the gross margin in proton therapy. And this will be supported as many sites will go into clinical by a strong increase in service revenue. And there as well, we have a clear focus on improving the profitability as we are going to reach a critical mass, so to speak. So, all this will certainly contribute to the guidance in '26 and we will progressively see the impact definitely in '25 and to a certain extent in '24. When it comes to Other Accelerator, Henri, you want to take the question? I can take the third one for sure, which is do we expect to see any new entrant in the high energy or the high power? It's more the high power machine. I think we keep a very strong edge on this. There's a number of initiatives going on, but I don't think there is anything really threatening or positioning in the high end or in the high power segment, especially in X-Ray. So, I think we have a minimum five years ahead of competition and we intend to keep that edge alive, especially as we innovate faster. Not only we deliver machine for medical device sterilization, but everything we do in theranostic for instance, also help us to continue to improve the machine. In terms of performance, the overall X-Ray goes beyond the machine as well. We develop additional competence in how to deal with, how to convert the beam into x-ray, which I believe is very unique, as well as what to do with the beam, this kind of very high power beam. You also need to develop expertise that we do. So, I think the innovation flow, let's say, makes me quite comfortable on keeping a competitive edge in that segment.
Henri de Romrée: When it comes to numbers and -- I'll comment on the trend and then maybe, Soumya, you can spread out what are the key numbers you feel at least to share at this stage. I think if you talk about post-COVID normalization in the sterilization industry, from where I sit, I think we can say this is -- we are over it. So, I think we can resume with, I would say, normal growth momentum, and I see therefore no reason to think that we would deviate from what has been guided as an overall growth momentum. From a macro perspective, as discussed, we see that IBA is at the forefront of many positive development in the Other Accelerators business, which gives, for me, additional assurance that we can meet the set expectations for that business.
Soumya Chandramouli: Yeah, on OPEX, a little bit like in protons, I think we'll slowly start to reach a plateau where we're going to flat out. But in 2024, we will still have some increase, which will come from digital initiatives, from the fact that we continue to invest in our service roadmap for the installed base, which is continuing to grow in the industrial and in PS in RadioPharma also. And then in the production area, where we have to deliver a lot of machines to our customers, and so to support the backlog conversion, we will see some increase in overall production costs, but nothing that will be major versus today.
Laura Roba : Okay, thank you.
Soumya Chandramouli: Should we move to online questions?
Olivier Legrain: Yes.
Soumya Chandramouli: So, we have David first.
David Vagman : Yes, hello, good afternoon, everyone, and thanks for taking my question. So, I've got two questions. So, first, on the Other Accelerator, could you come back, break down a bit the improvement in profitability we saw in H2? So, if I'm correct, you had like a 50% fall through to the bottom line. So, I mean, from, you know, like the sales improvement, looking at the profitability improvement. So, what does it mean for the gross margin? What does it mean for the, how you allocate, I guess, the profitability per contract? Maybe to start with this question first. Thank you.
Soumya Chandramouli: I'm not sure I completely understand your question, David, but I can try and explain maybe how the numbers add up from H1 to H2. So, basically, OPEX are pretty reasonably linear between H1 and H2, slightly higher in H2 than in H1, but I would say overall half and half. So, when there is an improvement of the profitability REBIT level, it's because the overall absolute gross margin is bigger in value and is able to absorb those OPEX better than in other period, and that's exactly what happened in 2023. So, basically, we did in the Other Accelerator area nearly three times more gross margin in absolute value than in H1, which allowed us, therefore, to much better absorb these OPEX and improve profitability.
Henri de Romrée: Operational leverage.
Soumya Chandramouli: Exactly. In terms of percentage of gross margin, it remained more or less the same between the two periods. So, that was not the major driver, really, because, as you know, in the Other Accelerator business, we already have good margins, much more market competitive margins.
David Vagman : And you don't have also operating leverage at the gross margin level in the sense that, or, you know...
Soumya Chandramouli: Yes, to some extent, but it's of a lesser extent in the Other Accelerator business than for PT, because, you know, in PT, we have all of our sites that are across more than 40 countries, and so there, there is much more opportunity for that operational leverage than for the industrial business, where we don't have permanent operations in every country.
David Vagman : Okay, thank you. And then, when we look at the H2 profitability, what kind of conclusion should we draw for the coming years, basically, if you've achieved this? My model is a bit stuck, but I have, like, more than 20% REBIT margin, I think, in H2.
Soumya Chandramouli: Well, I think you have, which is mid-term guidance, and that's what we're targeting.
Olivier Legrain: I think what it shows, David, is that, you know, 12 months is a better cycle than six months, unfortunately, so to speak. So, I think you should look more at the average than the absolute value for six months. I basically have a bit of a reverse message than the one I had after the first half. I say, you know, first half is not representative. I think second half is not fully representative either, and I think the average is more representative of our business reality today.
David Vagman : Okay, and still, still, that means, like, close to 18% REBIT margin in 2023. So…
Olivier Legrain: You mean the Other Accelerator?
David Vagman: Yes, Other Accelerator. So is that something which, you know, like, given that the, okay, there has been very good backlog conversion, or Henri was saying that it's sort of coming back, you had a bit of a trough, but it should be coming back. So, yeah, how should we be thinking about the profitability of Other Accelerator, and REBIT normalized, let's say in 2026 I mean, going further.
Olivier Legrain: Yes, I think the average is a good normalization. 1.5, but we don't guide on this, but you did a good calculation.
David Vagman : Okay, okay. No, thanks. Thanks very much. It's very clear. And my second question, then, on working capital, if you could guide us a bit, or help us to understand, or we should be thinking about the working capital development and free cash flow overall, for the next two, three years.
Soumya Chandramouli: Okay, so I think we've had a very strong cycle over the past couple of years, where we had a lot of down payments coming in from customers on the back of the high order intake levels. And I think 2023, as you saw, the working capital has reversed as we start to construct all the equipment, and deliver all those machines. And so inventory goes up, and obviously, that means that cash goes down. So, we should see this trend continuing into 2024, and then stabilizing by end of 2024, and remaining more or less the same, i.e. still negative working cap for the first half of 2025, at least, because we actually expect to receive quite a lot of big down payments in the second half of 2025. You may remember, I had already mentioned that the Spanish 10 room contract is not a very strong one on the down payment terms. And so, that does have an effect, especially because we are building 10 machines at the same time. And there, a portion of the cash will really come in only second half of 2025, as we start to deliver those machines.
David Vagman : Okay, thank you. So, you said same trend in 2024, then to stabilize, sort of, in 2025?
Soumya Chandramouli: Yes.
David Vagman : Okay, with down payment then coming in H2.
Soumya Chandramouli: Second half of 2025, correct.
David Vagman : Okay, thank you.
Soumya Chandramouli: We have Thomas.
Thomas Vranken: Hi, this is Thomas Vranken from KBC Securities, filling in for my colleague Michael [ph]. Thanks for taking my questions, two from my side as well. Maybe the first one is on the proton therapy side there. I just wanted to have a bit more of a feeling of how you think about pricing power going forward. And we see that market share is slowly increasing with the exit of Varian. How do you think about that, let's say, over the next two, three years?
Olivier Legrain: I think we have there as well, I think the competitive environment is very favorable. So, I expect to see the same kind of market share and same kind of pricing power. We continue to improve, let's say, our competitive advantage faster or value proposal faster than competition. So, I think market share is fairly well protected and pricing power should be protected as well.
Thomas Vranken: And do you expect an increase on that, on the back of that strong market share?
Olivier Legrain: You mean increase of power?
Thomas Vranken: Pricing.
Olivier Legrain: Pricing power, you know, I think it has already significantly improved. Now the question is the right level as well for the customer to be able to swallow it somehow. So, taking into account that the inflation has made overall proton therapy project more expensive. So, I can put it another way. I expect to see our margin going slowly where it should be. Which we don't get it. But I think pricing power has dramatically improved over the last few, or last couple of years, let's say. I don't think we will see major change on that. But it will really help us in terms of gross margin recognition going forward, gross margin improvement.
Thomas Vranken: Okay, thanks. And my second question was with regards to the rollout of the new industrial applications. Like, for example, those forever chemicals. Just to have a bit of a feeling in terms of how you think about timelines here. Do you already anticipate material contributions in the course of the next three years?
Olivier Legrain: I think, maybe I'll take it over here. So, what we have done now is a proof of concept. So, we have taken some carbon filters and we have demonstrated that using an electron beam radiation of -- I don't remember if we do it with electron beam or x-ray, but it has shown some promising results on being able to break the forever chemicals molecule. We start to understand the economics of it, which tend to show that it's not going to be more expensive than the actual technology. So, now what we are looking at is building, let's say, a first real-size treatment center somewhere in Europe, which will take a couple of years. So, I think three years is maybe on the low side, but the third year, maybe we'll start to see some material effectively. So, I would say the next will be used to build, let's say, a real-size treatment center to show to the world and help the industry to test it, and then we'll see what will be the business model that we will pursue.
Thomas Vranken: Very clear. Thank you very much.
Soumya Chandramouli: We have Carlos on the line. Hello, Carlos.
Unidentified Analyst : Hello there. Can you hear me?
Soumya Chandramouli: Perfectly.
Unidentified Analyst : I mean, I'm just playing with the numbers, really. I mean, it's fabulous, the Other Accelerator performance. Obviously, I can see the book-to-bill, and we're talking about the long-term growth in Other Accelerators, but if you're to presume that you can deliver sales of similar magnitude in 2024, let's say it's a quieter year, but you hold your profitability, which is kind of what you're implying, and the growth comes through in proton therapy with an improving gross margin for all the things we've talked about, and relatively flat costs at a higher level, fully annualizing 2023, you're going to see a dramatic improvement. I mean, these results show you're very sensitive to marginal sales at this higher level of costs, and you're talking a much more stable level of costs. So, surely, if you have a decent year when it comes to selling proton therapy, we're going to get a dramatic improvement in 2024 in the profits from proton therapy. I don't know what I'm missing, really. Are you being very conservative, because, I mean, ultimately, you've got to sign deals, right? That's the bit I don't really get, why we're not going to see a dramatic improvement in proton therapy, and with the other businesses holding their profitability, why 2024 isn't going to be a great year for the group. What am I missing?
Olivier Legrain: I think you're over-optimistic about the, I fully agree with you, except that I say it will start to happen in 2025. I think we'll see some improvement in proton therapy in 2024, but once again, I think as we will start to fully execute on the Ortega contract, that's where we're going to see the growth, and the Ortega contract remains, will start to be execute in late '25. So, we'll see some impact in '24, but it will be, even though we don't guide on '24, we estimate it's going to be, let's say, on the low side, but as of '25, I think your reasoning is pretty right.
Soumya Chandramouli: Maybe I can add on that, Carlos, because I think there are two things which you probably are not taking into account, and which we take into account, which are, on the one side, backlog conversion. I mean, you saw that we've had backlog conversion delays in 2023 in China, and there's really not much you can do about it when there's a customer-related delay. It doesn't mean that you lose that margin, but it just means that the timing of that margin backlog conversion is hard to predict, and so we expect that there could be more of the same in 2024. It's not that we are planning on it, but get our notes, that's one element. The other element is, we still do have some low margin projects in the backlog, and those will continue to deliver lower margins in 2024, and even a little bit into H1 2025, but as we go forward in time, the effect will be diluted by the higher margin contracts. And then finally, and I think Olivier mentioned it earlier on, we do continue to invest in 2024 also, so we will see some R&D increase in 2024 also, and a lot of it will be in PT. So when you put all of these three together, you still see that 2024 will continue to be affected to some extent by proton, and we're not saying how much, but yeah. On the other hand, we didn't speak about group results, and that we're not guiding on, so there you are.
Unidentified Analyst : And then if I have a quick follow-up question just on margins, I mean, you know, the performance in other accelerators is absolutely sparkling, and the CMS is doing really well. It just seems so dominant, and the way I talk about pricing power, you just seem so dominant in proton therapy, and you know, it just seems 10% for the groups incredibly low, because it presumes a kind of mid to high single digit in proton therapy, which considering half the business is service, seems a very, very modest medium-term target. I mean, is 10% do you think the maximum that you can get to for the group? And what am I missing there? It just seems very low margins for proton therapy into the long term.
Olivier Legrain: I mean, three years in proton therapy is long term. It's not long term. We sometimes joke and say a proton therapy year is a five years’ human year, and you know, let's take it a step at a time. Let's get to 10%, and then let's see what's the potential.
Soumya Chandramouli: Just maybe I wanted to add, you know, our service contracts are O&M contracts, and so a big chunk of the cost in there is labor, and of course, labor is affected by index in labor indexes. Now, you may remember that most of our contracts are protected, because we have labor indexations on an annual basis. We are able to neutralize that to a large extent, but not always completely. And then you do still have overheads related to service and to the service business, because we are present in so many countries, and so that does have a little bit of an impact. So you can't expect the same kind of service margins as you might expect in a pure spare parts or service on call type of business, which is more the case for our industrial and radio pharmaceutical businesses and Other Accelerators of dosimetry.
Unidentified Analyst : Thank you.
Soumya Chandramouli: We have Simon online. Hi, Simon. You need to unmute.
Unidentified Analyst : Sorry, yes. You hear me now?
Soumya Chandramouli: Okay.
Unidentified Analyst : Yes, cool. Thank you for taking my question, Soumya. Just quickly on the Other Accelerators. Do you have an idea absolutely, in absolute numbers, will your profitability grow in 2024? And can you say something about 2025? I'm just struggling a little bit by this weaker year, 2023, in terms of Other Accelerators taken in, and it takes about 12 to 18 months to cycle it through the P&L. So just a bit of visibility on that. Is it now step up from where we have been or stabilization and no legs down anymore? That's the first question.
Soumya Chandramouli: So, you're trying to make me guide there.
Unidentified Analyst : Not really, because you, I mean, not really, just is it…?
Soumya Chandramouli: No. So we still haven't converted all the backlog that was built up in 2021 and '22. So we should continue to see nice strong sales for the other accelerator business into 2024 and '25 also. Now, you're right that, I mean, to some extent, the backlog conversion does depend on new sales. And indeed the sales for 2023 were more modest than for '21 and '22. But at the same time, it's such a big increase in terms of sales in '21 and '22. But I think we still have space to compensate for the lower margin -- lower order intake in 2023. And hopefully, as Olivier was saying, some of the effects that you were seeing on the industrial business are now weaning out and we should start to see more return to, let's say, the previous normal. And that should also help.
Olivier Legrain: See it will depend on the book-to-bill of '24. And we're pretty confident we'll be able to do a good book-to-bill in '24.
Unidentified Analyst : Okay, so the market is recovering, like you said in the in the beginning. And then on proton therapy, taking a step back, if you would be able to have a very low profitability in proton therapy by 2025, you basically are at your targets of 2026. Already, I have the feeling which would be around €60 million in EBIT. But can you give maybe the market a little bit more granularity on the €22 million loss, the building blocks, there was a delay of a big contract, I understand a big step in R&D. Can you quantify that a little bit? So we get a little bit more comfortable that the path to that profitability is really there? Because it was also surprised 50% of your, you explained a little bit, but 50% of the sales is in maintenance revenues here. And you would almost assume that the equipment part made almost €30 million in loss. And that's probably not the way how to look at it. But could you share your thoughts?
Soumya Chandramouli: Yeah, so we don't split out the margins between service and equipment. But I can give you an overall idea of where the biggest chunks of reduced REBIT come from versus what we should have could have expected. So first of all, I think a couple of or maybe three major projects, all three Proteus Plus projects in PT, which were either delayed or had a little bit of an over cost have had an impact. One of those projects, indeed, you're absolutely right. We had already spoken about it has been delayed completely. And that had more than 50% of an impact on the loss of 2023 for PT, I would probably go up to 60%, maybe even coming from that. Then you have the inflation. And you know, a lot of production is done in Belgium, we have a lot of people in Belgium. And so on the production manufacturing cost increases to ramp up our activities. Well, the inflation of 11% did have an impact in 2023. So there also, we probably see around 5 million impact overall, between the labor inflation and also some inflation on parts, which was indirectly induced by that labor inflation, coming from our suppliers. And then finally, we have the investments and Henri we both spoke about that quite a bit. And we have made a conscious decision to make quite some investments to support future growth. That's both on the product, but also on our overall capacity. And I would say that that is also probably another 20% or so of the overall loss. So basically, that gives you an idea of the three components that make up the major portion of the 2023 loss.
Olivier Legrain: Okay, two-thirds gross margin, one-third OPEX. And gross margin is a mix of building up capacity, delays, inflation, ramp up. And the third on OPEX is mainly driven by investment in R&D.
Soumya Chandramouli: And some inflation.
Olivier Legrain: And inflation as well, of course. Remember, I like to put it that way. We were entering '23 with a big question mark on our capacity to deliver. I mean, the global supply chain was upside down. And we have resolved that. We were potentially facing a huge multi-year inflation. And we have seen that in 2023, with 11% salary increase in Belgium, for instance. So we did swallow all this. But it did require some investment and reduction of profitability. But once again, I think this is kind of behind us.
Unidentified Analyst : And you might recoup some of that, or not?
Olivier Legrain: Yes, some of it, indeed. I think we're pretty, how can I say that, disciplined on going after penalties when we deserve some. So that's indeed…
Soumya Chandramouli: All that has happened.
Olivier Legrain: Yes.
Unidentified Analyst : Okay, good to hear that. And then maybe a last one. You mentioned in your press release, I think, that we'll get to the targets on a couple of conditions. And one of them is access to the markets. Curious on which market you are speaking there?
Olivier Legrain: I think things like...
Soumya Chandramouli: And I'm not sure what you're referring to, Simon. Were you talking about the geographical expansion, maybe, for dosimetry, which has been going into new markets also? Maybe that was what you are referring to?
Unidentified Analyst : I think on the conditions to get to the 15% CAGR and 10% by 2026, you mentioned access to certain markets. Probably it's China, just.
Soumya Chandramouli: No, it is more -- Indeed, China is part of it, Russia is part of it. We have operations in a couple of hyperinflationary countries where it's not easy to operate because we have to install machines where the costs go up like crazy. And so how do you manage that? Indeed, that's what you're talking about, really.
Olivier Legrain: In Russia, it's a bit -- I mean, it's not a question mark anymore, but it's -- the potential for us in Russia was very big. It's gone. So, you know, should this happen with, I don't know. I don't want to name a country, otherwise I will have trouble. But you know what I'm talking about. So I think -- let's put it that way. Geopolitics is bad enough, and we are confident with the guidance in the bad geopolitics environment. Should the geopolitics get worse, then it will be more challenging to reach our guidance.
Soumya Chandramouli: To give you an example, you may remember we had mentioned it last year, but dosimetry had a huge potential in Russia. We expected, I would say, mid to high single digit growth of the dosimetry top line in Russia. Now, of course, it's still done great given the 22% increase of the dosimetry sales, but it could have been even greater with Russia, for example. So that's one example of where that has an impact on the overall numbers.
Unidentified Analyst : Very good. And last one on China. CGNNT is opening their facility. Are you more enthusiastic about that and on the prospects? Because so far, they didn't bring a lot since the deal in 2020, I think, no?
Olivier Legrain: You know, overall, our market share in China is pretty good. So I think it's a bit tough to say that CGN under-delivers. We're quite enthusiastic about China. You know that the new five-year plan, they call it, I think, or the country plan, has a law for 41 proton therapy licenses. And I believe the mix between CGN and the new factory and the technology transfer that we've been able to deliver and us continuing going directly in China with Proteus One will allow us to claim our fair market share in China. So I think overall, we're in good shape in China, if I may say so.
Unidentified Analyst : Good to hear that. No, no, I just had expected that it would go faster with CGNT. It's true that there has not been a lot signed, but I hope it will accelerate once their facility is open. Thank you for taking my questions.
Olivier Legrain: Thank you. Thank you, Simon. Okay, I don't think we have any more questions. Thank you very much. And on behalf of everyone here at IBA, I would like to thank you for your continued interest and support of our company. And we look forward to updating you on our progress as we unfold 2024. Thank you very much and have a nice day. Bye.
Soumya Chandramouli: Thank you. Bye-bye.